Operator: Good day everyone and welcome to the Littelfuse, Inc. Fourth Quarter 2025 Earnings Conference Call. Today's call is being recorded. At this time, I will turn the call over to Head of Investor Relations, David Kelley. Please proceed.
David Kelley: Good morning, and welcome to the Littelfuse, Inc. Fourth Quarter 2025 Earnings Conference Call. With me today are Greg Henderson, President and CEO, and Abhishek Khandelwal, Executive Vice President and CFO. This morning, we reported results for our fourth quarter and a copy of our earnings release and slide presentation is available in the Investor Relations section of our website. A webcast of today's conference call will also be available on our website. Please advance to Slide 2 for our disclaimers. Our discussions today will include forward-looking statements. These forward-looking statements may involve significant risks and uncertainties. Please review today's press release and our Forms 10-K and 10-Q for more detail about important risks that could cause actual results to differ materially from our expectations. We assume no obligation to update any of this forward-looking information. Also, our remarks today refer to non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measure is provided in our earnings release available on the Investor Relations section of our website. I will now turn the call over to Greg.
Greg Henderson: Thank you, David, and thank you to everyone for joining us today. This morning, I will provide highlights on our fourth quarter, then an update on the progress we are making on our strategic priorities. But I wanted to start by highlighting two recent exciting developments. First, we closed the acquisition of Basler Electric in December. Basler strengthens our high-power capabilities and expands our positioning in key growth markets, including grid and utility infrastructure, and data center. I got the opportunity to meet their leadership and technical teams last month, and this left me even more excited about Basler's market and technology positioning, scalability, and long-term growth opportunities with Littelfuse, Inc. Second, we are excited to announce that we will host an investor day on May 14 in New York, where we will provide a detailed review of our strategy and long-term financial goals. I look forward to sharing more about Littelfuse, Inc. and our opportunities at this event. Now turning to our fourth quarter. We delivered strong performance with year-over-year revenue growth of 12%. Across our businesses, we continue to drive momentum in our high-growth markets. We delivered double-digit revenue growth in data center, grid and utility infrastructure, and renewables markets. Automotive grew mid-single digits despite declining global vehicle production in the quarter. Finally, we are seeing emerging signs of broad-based industrial recovery into 2026. In the fourth quarter, our teams also delivered on our operational excellence priority, which culminated in our earnings results exceeding the high end of our guidance range. Throughout 2025, we remained focused on executing our strategic priorities, and we exited the year with a robust backlog and considerable momentum. Entering 2026, we are well-positioned to drive strong performance. We expect to deliver double-digit first-quarter revenue growth and significant earnings expansion supported by our fourth-quarter bookings, up more than 20% versus the prior year. Abhi will discuss specific results and our outlook in more detail shortly. But I want to thank our global teams for their persistent hard work and efforts. Now I want to share the progress we are making as we enhance our focus on future growth opportunities. Our end markets require increasingly higher power and higher energy density solutions from Littelfuse, Inc. We are seeing broad-based momentum reflected in our 2025 design wins, which were up double-digit relative to the prior year. Today, I wanted to specifically highlight our grid and utility infrastructure opportunity. If you turn to Slide 6, our position in this high-growth market was significantly bolstered by the closing of our Basler Electric acquisition this past December. With approximately $3 trillion expected to be invested in grid modernization through 2030, the market is demanding more advanced and higher power protection excitation systems. With the strategic timing of the acquisition, we are well-positioned to help our expanding grid and utility customer base navigate the challenges of higher voltages and increasingly complex system requirements. Basler enhances our core high-power protection capabilities and equips us to sell more complete solutions. We believe our complementary portfolio coupled with our deeply embedded relationships positions us for double-digit growth and strong profitability within this market. An example of our expanding reach this quarter, Basler was selected as a design partner for a next-generation control system solution for a leading player in the high-power industrial data center backup generator market. Now turning to our second strategic priority, which is to work more closely with our customers to help better understand and solve their technology challenges. Our new go-to-market evolution is live, and we are seeing the early signs of success following our Salesforce realignment, which is now market-facing, customer-centric, and focused on solving our customers' most complex challenges with our complete technology portfolio. As an example, we continue to drive significant progress in the data center market, where we were early to adapt our new sales model. Our 2025 data center design wins more than doubled relative to the prior year. As you can see on Slide 7, we have a comprehensive data center technology portfolio, and we are capturing meaningful wins with leading hyperscaler, cloud, and infrastructure customers. The data center market is undergoing a significant architectural shift to high-power systems. As shown on Slide 8, we believe our content opportunity on these next-generation architectures will be significantly more than double current levels. Importantly, we also have meaningful growth opportunities across the data center infrastructure ecosystem. The acquisition of Basler further expands our high-power data center infrastructure capabilities. To illustrate our momentum, we secured a significant design win for a static transfer switch with a leading data center infrastructure provider. This solution leverages our high-power semiconductor and packaging technology, which enables increased power density of approximately 20%, improved efficiency, and simplified integration into the customer's equipment. This win is for a two-megawatt UPS bypass and power distribution unit application that enables uninterrupted power to data center racks. Shipments are slated to begin in 2026, representing continued momentum and growth in high-power data center solutions. Turning to our third strategic priority, enhancing operational excellence. Today, I want to highlight our semiconductor business opportunities. This business is core to our technology differentiation. Our market-leading protection and complementary power semiconductor products are critical to our mission of enabling a safe and efficient transfer of electrical energy. Last quarter, we shared that we made a change in semiconductor leadership. I would like to provide an update on the strategic progress we are making in optimizing our power semiconductor products, which accounts for roughly half our semiconductor business. First, we have made a decision to sharpen our focus on high-value and high-growth applications. We have differentiated technology and strong customer relationships in high-power markets, such as data center, battery energy storage, grid and utility infrastructure. We have started the process of rationalizing our portfolio to reduce exposure to lower-value product families and are aligning our manufacturing strategy accordingly. As part of this initiative, we are reviewing our power semiconductor manufacturing footprint to ensure it is optimized and resilient. We believe these actions will significantly improve the strategic focus and profitability of the business and position us to deliver next-generation technologies that will drive growth in our targeted markets. We look forward to providing further updates on these initiatives and sharing our firm strategic and financial roadmap at our May investor day. Taking a step back, we closed 2025 with considerable momentum, reflected in our fourth-quarter performance. We closed the Basler acquisition and drove robust backlog through customer and market traction throughout year-end. Into 2026, we are focused on executing our three strategic priorities and believe we are positioning Littelfuse, Inc. today for meaningful long-term scale and leading shareholder performance. With that, I will hand the call over to Abhi.
Abhishek Khandelwal: Thank you, Greg. And to everyone joining us. Today, I will start with an update on the Basler acquisition. Then, I will walk you through our fourth-quarter results, followed by our first-quarter outlook. We will then be happy to take your questions. As Greg mentioned previously, we are excited to close the acquisition and look forward to executing on the meaningful revenue synergies and opportunities that the combination of Basler and Littelfuse, Inc. will deliver. We anticipate the acquisition will contribute between $130 million and $135 million in revenue and 10 to 15 cents of adjusted earnings in 2026. We also expect Basler to deliver a high-teens adjusted EBITDA margin for the year. With that, please turn to Slide 10 for details on our fourth quarter. Going forward, comparisons I will discuss will be relative to the prior year, unless stated otherwise. We delivered strong results as revenue in the quarter was $594 million, up 12% and up 7% organically. The Dortmund and Basler acquisition contributed 3% to sales growth, while FX was a 2% tailwind. Adjusted EBITDA margin finished at 20.5%, up 180 basis points reflecting meaningful operational leverage, while fourth-quarter adjusted diluted earnings were $2.69. We also delivered meaningful cash generation in the fourth quarter. Operating cash flow was $139 million, and we generated $120 million in free cash flow. We ended the quarter with $563 million of cash on hand and net debt to EBITDA leverage of 1.2 times. In the quarter, we returned $19 million to shareholders via our dividend. Now before we go into further details on our results and outlook, I wanted to discuss the non-cash goodwill impairment charge that we recorded in the fourth quarter. The impairment charge of $301 million is for the IXYS and Dortmund acquisitions and is the result of our annual impairment testing of our reporting units. It reflects weaker sales and profitability than original expectations amid persistent soft market conditions. As Greg mentioned, we have an opportunity to enhance our power semiconductors focus on applications and markets where we have strong market share, brand power, and technology expertise. With the sharpened strategy, power semis will better complement our market-leading protection capabilities and ultimately drive improved performance over the long term. Please turn to Slide 12 for brief highlights on our full-year 2025 performance. We delivered strong revenue growth of 9%, while adjusted EBITDA margin expanded 260 basis points to 20.9%, reflecting the focused execution of our strategic priorities. We also delivered robust cash flow for the year with free cash flow expanding 26%, showcasing the strength of our operating model. We continue to target free cash flow conversion of more than 100% in 2026. Please turn to Slide 13 for our segment highlights. Starting with the electronics product segment. Sales for the quarter were up 21%, led by strong passive products organic sales as well as growth contributions from protection semiconductor products. Adjusted EBITDA margin of 23.7% was up 170 basis points reflecting favorable year-over-year passive and protection volume leverage. For the full year, sales increased 13% while adjusted EBITDA margin expanded 190 basis points driven by solid volume leverage. Moving to our transportation product segment on Slide 14. Fourth-quarter sales increased 1% year-over-year but declined 1% organically. Passenger vehicle organic sales growth was more than offset by softer commercial vehicle volumes. Adjusted EBITDA was 16%, reflecting our team's focus on driving margin expansion in a continued soft transportation market environment. For the full year, our focus on operational execution led to solid margin expansion, and we remain confident in our ability to drive long-term transportation profitability enhancements despite continued soft market conditions into 2026. Turning to Slide 15. Industrial product segment sales increased 4% but declined 1% organically for the quarter as improved energy storage, utility and grid infrastructure, renewables, and data center demand was more than offset by lower HVAC demand. Fourth-quarter adjusted EBITDA margin was 16.2%. For the full year, our industrial segment delivered revenue growth of 10% reflecting our secular growth positioning. Solid full-year 2025 adjusted EBITDA margin expansion reflects favorable volume leverage, while we continue to invest in long-term growth. Please move to Slide 16 for our first-quarter outlook. We entered 2026 with a strong backlog and significant momentum. With that in mind, our first-quarter 2026 guidance incorporates current market conditions, trade policies, commodity prices, and FX rates as of today. We expect first-quarter sales in the range of $625 million to $645 million, which assumes 7% organic growth at the midpoint and five points of growth from our Basler acquisition. We are projecting first-quarter EPS to be in the range of $2.70 to $2.90, which assumes 25% flow-through at the midpoint as well as a 3-cent contribution from the Basler acquisition. Turning to Slide 18. We want to provide you with a view on our key market exposures and underlying growth assumptions for 2026. We look forward to sharing our full strategy with you at our May 14 Investor Day in New York. With that, operator, please open the call for Q&A.
Operator: It's time to ask a question. Simply press star followed by the number one on your telephone keypad. And our first question comes from the line of Luke Junk with Baird. Please go ahead.
Luke Junk: Greg, maybe if we could start with data center. Obviously, it's emerged as a big part of the story over the past year. Just hoping you can help us think through some of the key incremental drivers as we move through, not only in the first quarter, but through '26 in terms of share gain opportunity flowing through that 2x backlog growth that you cited for the full year and maybe even initial tailwinds from those higher voltage systems starting to launch. You mentioned the award in the script that, you know, for half 2026 shipments are starting there. Just how should we kind of scale in the opportunities as we go through this year? Thank you.
Greg Henderson: Yeah. Thank you, Luke, for the question. Good morning. Yeah. We continue to see good progress in the data center market. I think I emphasized that data center is one of the early markets where we focused on our sales realignment, putting a dedicated team focused on our customers selling our complete technology portfolio. We're already seeing traction. As I mentioned, our design wins were up significantly, more than doubled in 2025, and we continue to see momentum. And I think the good news is that as is shown on the chart, as the customers are moving to higher voltage systems, their architecture is on higher voltage and DC, high voltage systems. There's a lot more for us, and we're part of those conversations with our customers now on architecting that. So we can't give a quantitative number exactly because the architectures are evolving. But it's at least twice the opportunity for us as we go to the higher voltage systems and in some cases, significantly more than that. So we have momentum. I mentioned the design win on the static transfer switch. We have momentum across the business. Also, Basler has a good position in data center for backup power generation solutions. And so as we mentioned, it's not just in the rack, the white space, but actually more and more solutions that we offer in the gray space as well. So we have good momentum. We continue to see growth in design wins. We will continue to see growth in revenue. And I just say that the thing I'm most excited about is we're having deeper conversations with our customers, talking about more of our technology portfolio, talking about next-generation architectures around the high voltage solutions.
Abhishek Khandelwal: And, Luke, just to build up on what Greg said. So, again, to reemphasize the design wins are 2x, you know, 2024 and '25. Data center grew really, you know, grew strong double digits in the quarter and was a material contributor to our growth story in Q4. We expect it to be a leading, you know, market contributor growth in '26. And then more importantly, as I think about our data center exposure, you know, it's double digits as a percent of revenue inclusive of Basler as I think about our data center exposure.
Luke Junk: Very helpful. And then, Greg, switching gears to industrial. You mentioned in the script that you're seeing signs of a more broad-based recovery in industrial into '26. Just hoping you could double click on that in terms of some of the maybe more specific things that you're seeing or obviously this touches a few parts of the business maybe flow through to some specific business impacts as well. Thank you.
Greg Henderson: Thank you, Luke. Yeah. I would say that, you know, if you look at the bookings we had in 4Q and the momentum we feel, we're seeing a broader-based momentum, I would call it, in our broader industrial market, especially, like, our diversified industrial segments and industrial automation segments. The one market where I would say we still continue to see softness is in the residential HVAC where we have a reasonable exposure on our industrial business. So that one continues soft. But broadly, the market is improving. And I would say the good news is that we see that broad momentum across the business. It's strong in our industrial products and passive electronics and also our semiconductor protection. The book to bill in the quarter was above one, and we're seeing growth in not just book to bill, but also in POS at our end through to our end customers.
Abhishek Khandelwal: Yeah. And just, Luke, last one I'll make is if we think about the bookings in Q4, we're up 20%. We saw similar, you know, numbers in Q3. So points to, again, strong momentum exiting '25 and coming into 2026 to Greg's point.
Luke Junk: Yeah. And then maybe for my last question, obviously, there's a lot of metals inflation out there right now. You just remind us how you buy things like copper and silver in terms of buying at spot rates versus indexing mechanisms to pass through those higher costs to different customer types assume distribution, a little more straightforward versus some other customers and maybe put a finer point on what you're assuming in the first quarter guidance specifically? Thank you.
Abhishek Khandelwal: Yes. Absolutely. Look, Luke. So we're seeing pressure on the metal side, right? Our exposure is primarily to copper and ruthenium. But given the volatility in the silver and gold prices, we're seeing an impact from that. Right? So they kind of think about what our teams are focused on. Firstly, they're focused on supply chain opportunities and really looking at ultimate ways to go procure that same material for cheaper pricing. Two, it's around, you know, how do we go price that and take that inflation and price it along to our customers either through pricing or surcharges. What I will tell you is while we're getting impacted, you know, just like 2025. Right? If you think about the price cost type to tariff, we did our teams did a great job managing that. That's what we're focused on. That's what we plan to go do this year. Now there might be some timing between quarters just given the timing of inflation versus when you, you know, get your price. But that said, our goal is to be price cost neutral. We have factored the impact of current commodity prices in our Q1 guide and feel reasonably comfortable about where we are, and the Q1 guide.
Luke Junk: Yeah. Just maybe in terms of the first quarter guide, is the assumption that your price cost neutral and the first quarter guide? Or should we think of that as a full-year comment?
Abhishek Khandelwal: I think it's a full-year comment. But like I said, there'll be timing, Luke, throughout the year as we go through it depending on how the, you know, commodity pricing moves versus when we recognize the pricing on it. So I that that's a full-year comment, not a Q1 comment.
Luke Junk: Understood. I'll leave it there. Thank you.
Operator: Your next question comes from the line of Christopher Glynn with Oppenheimer. Please go ahead.
Christopher Glynn: Yeah, congrats on the deal in the data center momentum there. You know, you answered a lot of questions upfront about, you know, migration to the higher voltage architectures. You know, obviously get some constructive comments there net of some product categories that will diminish. So that's great. Still a question remaining. Curious about, you know, what you're seeing in terms of opportunities like partnerships or consortiums into that space for standard application design? And I'm just wondering if there's anything to talk about in that respect.
Greg Henderson: Well, I think yeah. Thank you, Chris. I think the thing to understand is that we have increased focus on the data center market. And we're wanting to play across the ecosystem. So we're partnering and talking to the hyperscalers. We're partnering and talking to the chip providers that the architectures. We're very active in the ODM and the design ecosystem in Asia and Taiwan that supports the design ecosystem. So what's important about our strategy now is that we have a dedicated focus, a dedicated sales focus on the data center customers and increased focus. And I think what's important is that we participate in all parts of that. From the chip designers that are building architectures to the hyperscalers that are designing and power to the ODM in Asia, and we're covering all of that, and we're participating in all of that. Our view is that, you know, we get our products architected and designed in, throughout the cycle, and we're touching all those phases. So we're very active. You know, we're also very active in platforms like Open Compute, for example, to make sure we know where the architectures are going, where the standards are going. One other thing I will emphasize is that when you go to high voltage architectures, many of these high voltage architectures, once you go to four or 800 volts, products that didn't used to need to be UL certified, for example, now need to be UL certified. We need new standards. We're active in the standard body and the UL certification process for some of the standard setting processes for these high power applications that ultimately are going to go into data centers. So we're participating across the ecosystem. That's actually how we think we're going to win. And we're increasingly investing in that.
Christopher Glynn: Great. And then, on the power semis, you kinda blew through some of the target markets focused there. So I'd like to just revisit that. And also, what kind of attrition might we anticipate in kind of related earnings power? How should we contemplate that element ahead of the kind of breakout in May?
Greg Henderson: Yeah. Thank you, Chris. I'm gonna try to give a little bit more color. So again, just to anchor on our semiconductor business, which is in our electronics segment, about half the business is our protection semiconductor business. This is actually a model franchise for us. We have very good market position, strong share, good customer value. That's about half the revenue. And then the other half is our complementary power semi business, which is core to our strategy. And I think where we're focused here though is that there's elements of power semi business where we have high value, we see high growth markets, we have meaningful share, we're important to our customers, and actually, those tend to be the higher energy density, high power segments, like data center, battery energy storage, grid and utility customers. And so those are the areas where we're going to continue to focus, where we have high value, where we have market position that's giving us differentiated solutions. There are, however, parts of our Power Semi portfolio where it's lower value and a little bit more commoditized, I would say, where we don't have as much value. And so we're undergoing an effort to rationalize the portfolio and double down on the areas where we believe we can win. And as part of that, we will also be optimizing our manufacturing footprint. So what I think we're telling you is that this is a work in progress. Telling you where we are. We look forward to getting you continued updates. As we progress this between now and Investor Day in May. So we will continue to give updates as we make progress. But I think the strategic focus is to continue to just like we're doing broadly for the company, sharpen our focus on where we play and why we win.
Abhishek Khandelwal: Yeah. Chris, just to build around, you know, Greg's commentary, the way to think about it from a financial standpoint is as we go through the year, as we make progress, we'll incorporate any changes to our guide. That's point number one. Point number two, again, to Greg's point, you know, our semiconductor business unit is made up of two things really. Right? It's protection and it's power. Protection is a model franchise. So what this also does give us an ability to go do is we rationalize our portfolio, optimize our footprint, get our power to semi business, at that model level profitability. Right? That's what we're focused on. Again, more to come on this, but to Greg's point, our efforts are underway. And as we make progress through the year, we'll keep you up to date. And then more importantly, a vision and a roadmap by Investor Day so that the team understands what is it that we're going after.
Christopher Glynn: Perfect. And then if I could sneak one in on Basler. Just curious about how you're seeing the cultural fit. Anything kind of edgy on the integration? You know, probably some differences in go-to-market and specification process with a little bit more of a systems and solution orientation to their portfolio.
Greg Henderson: Yeah. Thank you, Chris. Yeah. Look. We are very excited to have Basler as part of Littelfuse, Inc. As I mentioned, I got the, you know, we did the due diligence, but that was kind of a limited process. So I got the opportunity to meet with the team shortly after close in December. What we really like, and actually, I left even more excited about is that couple things. One, Basler is a highly technical organization. They have a great engineering capability. They're market leaders in protection solutions, like excitation systems, and probably punch above their weight based on the size of the company for the capabilities that they have. Two of those, you mentioned go-to-market. We really like about Basler is that they have market position and established go-to-market in the utility industry. If you look at Littelfuse, Inc.'s legacy portfolio, we have technology that really plays in good utility. And some subsegments of that, like battery storage and solar, we've done really well. But other subsegments that may be more core utility grid space we have under-participated mainly because of focus, but one of the key areas is that we didn't have the channel. So we're actually really excited about Basler and the capabilities they bring. They have complementary products. They're a system-level provider. They provide complete solutions. So many of the places we're going Basler is, and our goal is to leverage their go-to-market and customer understanding to help us bring more of the Littelfuse, Inc. portfolio into that space. So just like we're doing other places, we're leveraging that. We're very pleased to have the Basler engineering and go-to-market team as part of Littelfuse, Inc., and we see that as a growth synergy out of this acquisition.
Christopher Glynn: Great. Thank you.
Operator: The reminder to ask a question, press 1 on your telephone keypad. And our next question comes from David Williams with Benchmark. Please go ahead.
David Williams: Hey, congratulations on the progress here. It's really great to see, and the tone has changed and I'm much more enthusiastic. So congratulations there. Maybe the first question is, Greg, as you kind of think about over the last ninety days, what has changed or shifted? What do you think has become maybe more positive? And is it simply because of the self-help, the strategy you've implemented, or do you feel like the markets are also helping in that regard?
Greg Henderson: Yeah. So two things. First, I think, you know, we're on a multiyear journey. And I think that from the Littelfuse, Inc. perspective, we are continually making progress. We've been making progress throughout '25. We anticipate we're going to continue to make progress through '26. And so for us, I would say it's a multiyear journey, and we are seeing results of our, you know, results of our progress. We expect to continue that. In addition to that, I would say we continue to see market momentum. So if you go back to 2025, I think the market momentum was maybe more narrow. In data center and grid utility, solar, battery storage, energy around data center, the market momentum was a little more narrow. We actually are seeing a little bit broader market momentum. We talked about the broader industrial market momentum. So I would say it's both. Right? We are making progress on our strategy. It's a journey. It's a, you know, step by step, we're making progress. But also, we're seeing some market momentum that is adding to that.
Abhishek Khandelwal: Yeah. And because the or David, just to build on what Greg said, I think couple things will add to it. First of all, as you see our results for '25. Right? We talked a lot about operational execution. While we have more to go do there, you see that play itself out in our margin expansion across all three segments, whether it's transportation, industrial, or electronics. Two, I think the whole conversation we just had around, you know, power semi and that focus really gives us an opportunity to optimize our profitability and continue to move that, you know, move that profitability to optimal level. So I think to Greg's point, I think there's a little bit of focus that we're driving that helps us optimize our portfolio further and then Greg, I talked to '1 guide, right, I mean, at the midpoint, it's a 7% organic, 15% growth year over year. Where Basler's gonna contribute about 5%, you know, in the quarter. And an EPS guide that the midpoint is a, you know, 28% growth and a 7% top line growth. So, again, points to the strong momentum exiting '25, coming into '26. As I think about the markets, as Greg mentioned, we're seeing broad-based industrial strength, right, with the exception of the HVAC market. It's not just data center anymore. It's a little more broad-based. So in general, we feel really good about where we are in 2026 and the momentum that we're seeing as we go along the year. Of course, we'll, you know, keep the team up to date on our progress. But sitting here today, we feel really good about our momentum in '26.
David Williams: Thanks so much for the time. Certainly appreciate it. Best of luck.
Abhishek Khandelwal: Thank you. Thank you. Thank you, David.
Operator: With no further questions in queue, I will now hand the call back over to CEO, Greg Henderson, for closing remarks.
Greg Henderson: All right. Well, thank you all for joining us today. I just want to close by first thanking our global teams. As we mentioned, we had a strong Q4 and good progress to our goals in '25. And we're confident in our momentum into '26 as Abhi just said. So thank you for joining us. We look forward to seeing many of you in person as you join us at our Investor Day on May 14 in New York. So thank you very much.